Operator: Good day, and thank you for standing by. Welcome to IREN Q2 FY '26 Results. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Mike Power, Vice President, Investor Relations. Please go ahead.
Mike Power: Thank you, operator. Good afternoon, and welcome to IREN Q2 FY 2026 Results Presentation. I'm Mike Power, VP of Investor Relations. And with me on the call today are Daniel Roberts, Co-Founder and Co-CEO Anthony Lewis, CFO; and Kent Draper, Chief Commercial Officer. Before we begin, please note this call is being webcast live with the presentation. For those that have dialed in via phone, you can elect to ask a question via the moderator after our presentation. I'd like to remind you that certain statements that we make during the conference call may constitute forward-looking statements and IREN cautions listeners that forward-looking information and statements are based on certain assumptions and risk factors that could cause actual results to differ materially from the expectations of the company. Listeners shouldn't place undue reliance on forward-looking information or statements and I encourage you to refer to the disclaimer on Slide 2 of the accompanying presentation for more information. And finally, during the course of today's call, we will refer to certain non-GAAP financial measures as a reconciliation schedule showing the GAAP versus non-GAAP results in the presentation. With that, I'll now turn over the call to Dan Roberts.
Daniel Roberts: Thanks, Mike, and thank you, everyone, for joining us today. Fiscal Quarter 2 was an important quarter for IREN as we made meaningful progress as a vertically integrated AI cloud platform. Let me start with the highlights. Firstly, we secured underwriting commitments for $3.6 billion of GPU financing at an interest rate of less than 6%. Together with customer prepayments, this provides funding coverage for approximately 95% of the GPU related CapEx supporting our $9.7 billion AI contract with Microsoft. . Importantly, this financing package provides greater clarity to also advance a broader set of customer discussions. In that regard, customer demand remains very strong and we are continuing to sign and negotiate contracts for both new and prior generation GPUs. We have multiple advanced negotiations underway for larger-scale deployments and are also seeing hyperscalers and AI enterprises increasingly focused on air-cooled GPUs given the faster deployment time lines. Operationally, execution is tracking well across the portfolio, and we expect to deliver 140,000 GPUs by the end of 2026 positioning us to deliver $3.4 billion in annualized run rate revenue. Construction across Horizon 1 through to 4 is progressing to schedule. And in British Columbia, we continue to expand our AI cloud footprint with just under $0.5 billion of ARR now under contract for Prince George. Finally, we extended our growth runway again by securing a new 1.6 gigawatt site in Oklahoma, taking our total secured power to over 4.5 gigawatts. This reflects the strength of our internal development team in securing gigawatt scale sites in a power constrained market and supports continued conversion of capacity into customer contracts over time. So that's the quarter in summary. Those outcomes reflect the assets, capability and execution discipline we've built over time, which I'll cover next. Over the past 7 years, we've built a strong platform grounded in real assets, power, land, data centers and just as importantly, human capital. That foundation is what gives IREN a durable competitive moat. We have secured more than 4.5 gigawatts of power, stood up 810 megawatts of operating data centers signed billions of dollars of AI customer contracts and assembled a team of over 2,000 people to execute on them. These assets and capabilities are not easy replicable. They are the results of years of hard work. As a founder-led business, we have been fully committed to building a platform with lasting value. And Will and I are deeply invested in this platform along with the rest of the management team. That mindset matters as it shapes how we allocate capital, how we partner with customers and how we think about long-term value creation. In an industry moving at extraordinary speed, this combination of real assets, operational capability and founder led commitment is what sets IREN apart and positions us for AI cloud leadership. So the way we think about scaling the business is through what we call the 3 Cs capacity, customers and capital. The reason we focus on these 3 is simple. They reinforce each other. Capacity creates opportunity customer commitments shape the pace and scale of our investment and capital gives us the ability to execute. What's encouraging today is that we have all 3 working in parallel. First, on capacity. We have 810 megawatts of existing data centers that can be immediately leveraged for AI cloud deployments. In addition to the 3.6 gigawatts of greenfield data center sites and a 2,000-plus team to design, build and operate them end to end. Second, on customers. As I mentioned, we are in multiple about negotiations. And at this point, demand is not the constraint for us. The focus is on choosing the right long-term partnerships that support durable platform level growth. And thirdly, on capital, we continue to diversify our sources of capital to support capacity growth and customer deployment. We have multiple financing pathways underway that allow us to scale our data center and GPU footprint in a disciplined manner, while importantly, maintaining balance sheet stream. This includes additional GPU financing, data center financing and selective corporate initiatives, which Anthony will delve into. So when you step back, the picture for us is pretty clear. We have delivered capacity. We have strong customer demand, and we have expanding capital options, all moving together, which puts us in a position to continue scaling IREN into 1 of the world's largest AI cloud platforms. With that, I'll now hand over to Kent to walk through updates to our capacity and our customer work streams in a bit more detail.
Kent Draper: Thanks, Dan. Vertical integration is 1 of IREN's most important competitive advantages. We design, build and operate our own data centers, supported by in-house engineering, procurement, construction, technology and operations teams. This structure gives us direct end-to-end control of our cloud offering and the ability to manage cost, time lines and service quality with far. Many of the constraints that we see across the industry today, whether it's long lead time procurement or skilled labor are areas that we've addressed in the past. So they're manageable for us and not disrupting our execution. That's why we remain on track against our plans today. And on that note, we continue to see strong, steady progress across our site portfolio with construction milestones being delivered on schedule. At Prince George, the data center fit-outs for air cooled NVIDIA B 200 and B 300 GPUs and and now complete and awaiting the delivery of the remaining GPUs on order. At Mackenzie and Canal Flats, our teams are actively preparing the sites for AI cloud expansion. There, we're leveraging the exact same playbook we successfully executed at Prince George. ASICs are coming out of those data centers and GPUs are going in. At Childress, construction across Horizons 1 to 4 is also progressing to schedule to meet Microsoft's GPU deployment time lines. and that Sweetwater procurement activities and civil works are now underway for the first phase of data centers to be constructed. Overall, what this demonstrates is an ability to consistently take large complex projects from planning through to execution. That delivery capability underpins everything we do and is 1 of the key reasons we have a license to engage with the largest technology companies in the world. The other factor that strengthens our position with customers is a scale of our secured power. As Dan mentioned, we have secured a new 1.6 gigawatt data center campus in Oklahoma. Further strengthening what is already 1 of the most differentiated power portfolios in the sector. The 2,000-acre Oklahoma site is a strong addition with low latency connectivity to major network exchanges and ramp schedule commencing in 2028. As with Sweetwater, the megawatts for this new site in Oklahoma remains secured, which enables commercial discussions to progress meaningfully anchored on firm deliverable capacity. It's also worth noting that this site is a result of work that has been underway for years. It reflects the depth of our internal development capability and our team's ability to consistently source and secure gigawatt scale grid connections in a power constrained market. Importantly, this new site does more than just add capacity. It broadens our U.S. data center pipeline beyond ERCOT into a market that's attractive to hyperscalers at a time when AI demand continues to outpace supply. As Dan mentioned, we're advancing multiple active negotiations with a range of hyperscale and non-hyperscale counterparties. And what we consistently see is that customers are focused on partners who have secured power can deliver full data center infrastructure on a defined time line and who can grow with them and scale over the long term. In other words, time to data center has become the key decision point in many of these commercial discussions. That dynamic plays directly to our strands. Our vertically integrated model combining in-house delivery capability with secured power gives customers a high degree of certainty on execution. We're also seeing hyperscalers and leading enterprises actively pursue both liquid and air cooled GPU deployments as they work to accelerate rollout. The increased focus on air cool deployments aligns extremely well with our existing footprint of 810 megawatts of already operational air cooled data centers. Importantly, all the demand and engagement that we're seeing is translating directly into contracted revenue. Today, we have approximately $2.3 billion of annualized revenue run rate under contract, including around $0.4 billion at Prince George which we expect to increase over the coming weeks as we finalize negotiations for the remaining capacity there. Based on capacity already contracted and the strong customer engagement for new deployments in Mackenzie and Canal Flats, we're on track to reach our targeted $3.4 billion ARR by the end of 2026. What's worth emphasizing is that demand is not the limiting factor for reaching this milestone. The market is extremely deep and engagement remains strong across hyperscalers and enterprises. Our focus is on selecting the right partners and structuring long-term relationship to create lasting value for IREN and as I alluded to earlier, we have the track record and capacity to drive customer acquisition. The takeaway from this next slide is the amount of runway that we have ahead of us. Our $3.4 billion ARR target for the end of calendar 2026 reflects utilization of only around 10% of our 4.5 gigawatts of secured grid-connected power capacity. That means the vast majority of our portfolio remains available to support additional deployments. With demand continuing to build that secured capacity gives us the ability to keep engaging customers on new large-scale opportunities and to extend growth well beyond the 2026 target. I'll now hand over to Anthony to give an overview of our Q2 results and discuss our strategy for financing our continued growth.
Anthony Lewis: Thanks, Ken. Q2 financials reflected continued progress in the transition from Bitcoin mining to AI Cloud with capacity increasingly allocated to higher-value AI workloads and AI cloud revenues accelerating as deployments ramp. Total revenue was $184.7 million, down 23% on the prior quarter, primarily on account of lower bitcoin mining revenue, driven by a reduction in bitcoin mined. This was as a result of the AI transition, which lowered operating hashrate against the backdrop of an increasing global hashrate, together with lower average Bitcoin prices over the period. This was partially offset by growth in AI cloud revenue in line with commissioning of new GPUs at our Prince George side. On SG&A, that decreased $37.6 million. Primarily resulting from higher accelerated stock-based amortization recognized in the prior period and associated payroll tax accruals. As expected, adjusted EBITDA declined primarily on account of the lower Bitcoin mining revenue mentioned just now, partially offset by the lower payroll tax accruals and lower power costs. EBITDA and net income were also impacted by several significant noncash and nonrecurring items this quarter. These included unrealized losses on prepaid forwards and cap calls associated with our convertible notes following significant gains in the prior period as well as a onetime debt conversion inducement expense in connection with the equitization of a portion of our 2029 and 2030 convertible notes. Together, these amounts totaling $219.4 million. In addition, we recorded $31.8 million of mining hardware impairment associated with the transition to AI cloud versus $16 million in the prior period. These impacts were partially offset by an income tax benefit of $192.5 million, primarily reflecting the release of previously recognized deferred tax liabilities relating to the unrealized gains on financial instruments. Overall, these results reflect the ongoing transition of the business to AI cloud and we expect subsequent quarters to reflect a growing AI cloud contribution consistent with our ARR targets. Now turning to capital and funding. At our last update, we indicated an intention to raise secured finance of at least $2.5 billion to fund the GPU-related CapEx for the Microsoft contract. As Dan has highlighted earlier, we have now secured a $3.6 billion delayed draw term loan financing package from Goldman Sachs and JPMorgan. The financing has a number of attractive features. It is delayed draw to align with our CapEx profile. It matches the profile of the underlying contract, amortizing in full over the 5-year term and will be secured against the underlying GPUs and the contracted cash flows from Microsoft, which supports a strong credit profile and an attractive interest rate expected to be less than 6%. When combined with Microsoft's $1.9 billion in prepayments, this package covers 95% of the GPU related CapEx for Horizons 1 through 4 allowing us to now focus our efforts on funding further growth across the platform. Now turning to our capital strategy more broadly. Our capital strategy is designed to support continued rapid growth while maintaining a resilient balance sheet. We ended January with a strong cash position of $2.8 billion, and we continue to deepen our access to diverse sources of funding. Financial year-to-date we have now secured $9.2 billion from customer prepayments, convertible notes, including the $2.3 billion issued in December, GPU leasing arrangements and the dedicated GPU financing for the Microsoft contract. This diversity of capital sources allows us to scale with confidence. Looking ahead, a key priority will be to continue that work and expand our access further. This will include looking at efficient financing for our data centers, such as Horizons 1 through 4 when they come online. These will be extremely valuable long-term assets, which are currently being funded by the balance sheet and construction financing to support our broader development pipeline. As well, we'll also look at select corporate level facilities when aligned with our cost of capital and balance sheet management priorities. Of course, as we scale financing activities, we'll remain focused on an appropriate balance between debt and equity to ensure we maintain that balance sheet resilience. With that, I'll turn it back to Dan for concluding remarks.
Daniel Roberts: Thanks, Anthony. So to recap, our strategy is straightforward, and it comes back to the 3Cs capacity customers and capital. We secure a large-scale, low-cost power and build quality data centers to create capacity. We pair that with long-term customer demand. and we support it all with disciplined, well-structured capital arrangements. That framework has guided our decisions for years, and it continues to shape how we scale today. Over the past several quarters, we've made meaningful progress across all 3 of those dimensions. We've removed a significant amount of execution risk by locking in capital for our largest deployment to date. We've expanded our power footprint. Sorry technical issue my screen just cut off, I can't see anyone -- and we've continued to deepen relationships with some of the largest technology companies in the world. What's important to emphasize is that we're still at an early stage of monetization relative to the size of our platform. With more than 4.5 gigawatts of power and only 10% required to support the $3.4 billion in ARR, we have a clear pathway for continued growth. With capital access now demonstrated at scale, we're able to engage customers with greater flexibility on how and when we bring new capacity to market while maintaining discipline around pricing and partner selection. That scale allows us to pace growth responsibly be selective in the customers we partner with and structure contracts and financing in ways that support durable long-term value creation. In summary, after more than 7 years of founder-led execution, IREN is now a scaled AI cloud platform with significant opportunity ahead. With that, we'll open the call for Q&A.
Operator: [Operator Instructions] First question comes from Darren Aftahi from ROTH.
Darren Aftahi: Congrats on the continued progress with Oklahoma. Two, if I may. There's a lot of noise around ERCOT. I'm sure people on the phone kind of want to know. But any change in those kind of amended rules with batch processing in terms of how that would potentially impact Sweetwater for you guys? And then I've got a follow-up.
Kent Draper: Yes. Happy to jump in there, Darren. So the short answer is with respect to Sweetwater it is likely to be included in the batching process, and we believe that both SweetWater 1 and 2 would be included in batch 0, which would mean that the full 2 gigawatts of power is secured. So that's obviously a key important point there is that security of power in addition to that, there are other projects in our portfolio that are potentially also included in batch 0. So 1 of the advantages of, obviously, having a large internally developed portfolio is that we do have a number of projects that are going through this process. .
Darren Aftahi: Excellent. I appreciate that. And then secondarily, so economics on colo have continue to creep up. I know you guys initially signed this cloud deal with Microsoft. Any kind of real-time thoughts on as you move forward with plans for Childress, Sweetwater, any other sites your views on AI cloud versus colocation?
Kent Draper: Yes. I mean, as we've said before, we continue to be open-minded about how we allocate our megawatts and continue to observe what's happening in the market. We are observing, as you mentioned, what's happening in the colocation market but also seeing continued strength in demand on the cloud side as well. And I think when we look at the overall portfolio, Power is the scarce resource today. And so it's absolutely vital that you are maximizing the value of each of the megawatts within the portfolio. And today, we still see AI cloud as doing that in a more meaningful way than colocation. It's higher up, obviously, in the value chain than colocation, and you can capture materially better dollars per megawatt through cloud versus pure co-location. And obviously, at this point, we've demonstrated the capability and execution to be able to stand up these large cloud customers. And as we spoke about at length during the call, also seeing the capital side come together. So all the elements are there within the portfolio to allow us to continue to take advantage of what we have on a cloud services basis.
Daniel Roberts: Maybe just to add to what Ken said, it is something we continue to evaluate. But 1 of the knocks on GPU Cloud was the capital intensity of GPUs. So with the announcement today of the GPU financing, we've now secured 95% of the cost of the GPUs at an average interest rate of around 3% when you factor into the prepayment. So we essentially got the GPUs for next to nothing. So I think in terms of capital intensity, it ticks that box. To further to Ken's point, time to power is critical, but time to data centers is actually the more limiting factor. And when you've got scarcity around how many data centers you can physically bring on live, every incremental 200 megawatts can deliver either $300 million-ish through a co-location or multiples of that in the billions under a cloud contract. So when we look at the monetization opportunity for our platform, and growth for shareholders and creating value, the cloud opportunity creates a lot more upside as we see it. And in terms of co-location versus cloud, we believe that AI is going to continue. We believe that data center demand is going to continue to compound. So recovering capital back in short order and mean out to compound those returns as distinct from holding effectively a bond exposure against the hyperscaler is the area we want to play. And if investors want bond-like exposures, they can buy colocation companies, they can buy bonds in the hyperscalers but we believe we are offering a high conviction for very well-managed risk exposure to the sector through this AI cloud business. Now again, we're not dogmatic. Things can change quickly. We get a compelling colocation deal. We will absolutely pursue it. But right now, AI Cloud, it's very compelling for all those reasons.
Operator: Next question comes from Paul Golding from Macquarie.
Paul Golding: And congrats on the additional site and all the progress. I just wanted to ask, as we think about the Oklahoma site and power market. I guess anything specific to call out about how that factors into the demand picture for HPC compute from a location perspective. Aside from, I know the low latency already mentioned, are there favorable power reliability dynamics or power pricing dynamics or just geographically relative to Tier 1 availability zones? And then I have a follow-up. .
Kent Draper: Yes. So we think that site there has favorable characteristics on a number of levels. I did mention that low latency as you referred to earlier. It's a very large site, which gives us flexibility as we build out the capacity, it's located in Southwest Power Pool, which is a different market to ERCOT. So it provides us with some jurisdictional diversity. We think Southwest Power Pool is a very attractive market on the power side, a large penetration of renewables, low cost of  power. We know that it's an area that is attractive to hyperscalers because there have been a number of hyperscalers that have been active in Southwest Power Pool more broadly, but also Oklahoma specifically. So overall, it exhibits all the characteristics that we would look for in terms of an attractive data center campus.
Paul Golding: And then maybe a follow-up on the questions that have been asked around cloud versus colo or maybe more specifically about cloud. As you roll out these 2 different approaches to cloud even right with your British Columbia clusters versus the Microsoft clusters. How should we think about your software approach looking at the neo cloud space software is a topic that comes up quite a bit. I guess how should we think about your software offering for certain clusters where there's on-demand or smaller contracted deals versus, of course, the bare metal deals and how that development and the uptake from customers has progressed. .
Kent Draper: Yes. Today, we're still seeing the bulk of our demand coming from hyperscalers, the largest enterprises, extremely advanced technology firms within the AI space, all of which are still looking for bare metal access. They want full ability to be able to take control of the GPUs, layer on their own software stack, set up the compute in exactly the way that they want to operate it and that is where the vast majority of our demand is coming. And as we referred to in the call, our ability to scale with them over time is 1 of the key elements. And I think the largest customers are those bare metal customers whereas the software really is typically more useful for smaller enterprise customers. that are looking for an easy user interface and easy single spin up, spin down, service but that is a small proportion of the overall compute demand that we're seeing out there today. It may well grow over time, and that's something that we continue to monitor as we look to our software strategy. But we continue to think that it is likely to be 1 of the areas in this space that gets commoditized, the fastest. It is relatively simple in comparison to finding power building data centers, setting up GPU clusters at scale and likely to be an area where you're going to see third-party offerings and commoditization, that we may well be able to take advantage of. So in short, continue to monitor that part of the market and what makes sense for us. But today, it is not a major driver for us because our demand is coming from bare metal customers .
Daniel Roberts: And maybe just to give you some additional comfort around the way the world might go here, Paul, is we do have an internal software capability. I think we probably downplay it a bit, partly in response to the market seeming to overplay it, but we've got that capability. And to give you additional comfort, 1 of the contracts we are negotiated at the moment is a multibillion-dollar contract where we need to bring a software solution. So it is not holding us back. It will not hold us back. But the reality is exactly is what Ken said, you are dealing with the largest technology companies in the world to pretend that you can be better at software and jam something down their throat when that is their competitive moat and that is their expertise, it's just not on growth reality.
Operator: Next, we have Michael Ng from Goldman Sachs.
Michael Ng: I just have to First, as a follow-up to the question earlier around the ERCOT batch study processing. It was encouraging to hear that the IREN site slightly will be in batch 0. I was just wondering if you could provide an update around the SweetWater 1 and SweetWater 2 energization dates and whether the batch process has affected your ability to negotiate and sign contracts with customers for those sites and what that progress looks like. And then I have a quick follow-up. .
Kent Draper: Yes. Thanks for the question. In terms of the energization date for Sweetwater 1, we're still on track to energize in Q2, and that's a full bulk substations. So that's capable of the full 1.4 gigawatts of power capacity at that site. So energization very much on track.  Construction is well advanced, both with the on-site substation as well as the utility substation there. As it relates to customer engagement moving forward on those sites, obviously, very early since this matching process has been announced. But if anything, we would actually expect it to be helpful to us. We've said numerous times in the past. There are a lot of megawatts that are put out there into this market that are made up and I think what this process is going to do is really uncover, which megawatts are real and which are not real. And for us, we expect that to actually lead to better discussions with our customers over time.
Michael Ng: Great. Wonderful. And I wanted to ask about the $2.3 billion of ARR, which I guess, the Microsoft contract plus the $400 million at British Columbia. When should we expect those revenues to start being recognized and commencing in the P&L? Is it kind of more ratably through the year? Is it more in '27? Just would love to get any thoughts about that? .
Kent Draper: Yes. So at Prince George, we've obviously had capacity operating there for a while and continue to install new capacity and we'll do over the upcoming weeks. So a decent proportion of the $0.4 billion of contracted revenue that we talked about is already operational there. As it relates to the Microsoft contract, that will come online progressively over the course of the year, commencing we expect Q2 in terms of initial revenues flowing through
Operator: Next, we have Brett Knoblauch from Cantor Fitzgerald.
Brett Knoblauch: Congrats on all progress throughout the quarter. I'm curious in your conversations with customers relative to maybe the first big deal that you guys signed with Microsoft, what you are seeing from a pricing environment, I think we have a lot of data points on the colo pricing may be improving out there. But I'm curious if you guys are seeing something similar when it comes to the cloud deals.
Kent Draper: Yes. We're seeing very strong ongoing demand, as we referred to earlier. And I think that is flowing through in a number of potential areas. We're seeing demand for longer tenures, I think the customers that are out there in the market realize that this may be a long-dated supply-demand imbalance moving forward. And there's certainly an openness that we're that we're seeing to longer tenures than we have in the past. Another factor that we mentioned earlier, we are seeing an increased interest in air cooled capacity. And that is primarily because that can feel immediate needs, especially within our portfolio because we have existing operational data centers on an air core basis that are capable of hosting GPUs in relatively short order with relatively minimal capital upgrades. We continue to see the ability to get prepayments from customers over time. So I think all of that leads us, as we said, to see a very strong demand picture and it is flowing through in some elements of the terms that we're getting under these cloud services contracts.
Daniel Roberts: And I think also to add, to that. Price is 1 dimension of a commercial negotiation. There are other factors, as Kent alluded to, whether it's tenure and prepayments, but also the quality of the underlying contracts. We do manage risk very carefully. It's a founder-led business. This is our money. This is our platform. And we're not here to optimize revenue in the next 4 weeks compared to building something that's durable and long-term value. And to highlight what that means in tangible terms, look at the GPU that we did on the Microsoft contract. So to step back, $5.8 billion of GPU costs to deliver $9.7 billion in revenue over 5 years of the $5.8 billion the nature of the contract is in the quality of the underlying contract, the quality of the credit, the tender and the prepayments allowed us to get $5.5 billion out of the $5. 8 million financed at an average cost of 3%. And like that is not specifically linked in a GPU hour price, but that is specifically tied to value creation on the platform.
Brett Knoblauch: Awesome. Very helpful. And then maybe just 1 more, ERCOT related question. I think you guys had using your words here that it's likely included in batch 0, whether that's A or B. I guess is there a time of when we would expect to know if it's included in batch 0. I know there's a meeting on the 12th and maybe on the 20th, but is that the time line that you guys are looking forward as well?
Kent Draper: Yes. I think ERCOT will make announcements over time, Exact timing may change and whenever ERCOT makes announcements with respect to this, they do acknowledge it is in the works at their end, and they're actively working through it. So hard for us to put an exact date on it, but we do expect ERCOT to make public disclosures at some point in the relatively near future .
Daniel Roberts: But to be clear on this guy, like crystal clear, that 2,000 megawatts is secure. Like none of this batch stuff, none of the market chatter is influencing whether or not this 2,000 megawatts is available. We've got the signed interconnection agreement. It was signed in 2023, it's been there for years. It's been built and commissioned in Q2 this year. There is no indication that 2,000 megawatts is absolutely secure. The only thing that this is likely to amount to is maybe working with utilities around load ramp. But the reality is we don't have 1,400 megawatts of Sweetwater 1 of data centers in April this year to energize. So in practical terms, it has very little if no effect on our business. The 2,000 megawatts is secure. We cannot reiterate that enough. .
Operator: Next, we have Nick Giles, B. Riley Securities.
Nick Giles: Good to see all the progress here. I like the concept of the 3 Cs capital is one. I think this is mainly around financial capital, but there's a growing narrative around the human capital requirements to ultimately bring data center capacity online. So are you seeing any constraints in terms of skilled workers? Or can you just speak to any advantages you may have from having EPC partners in place.
Kent Draper: Yes. I mean the fact that we've been building continuously for the last 3 years means that we've built up not only a large existing labor pool at Childers, but also those relationships and the relationships extend not just across construction contractors and labor but also across equipment, procurement and supply chains. So that is 1 of the major advantages that we have and having done this for so long and having been continuously constructing is that we are in a position where we're able to call on those relationships we're well positioned with those partners in the sense that they are looking for continued steady work. And when they look at us and see a secured power portfolio with construction that is going to extend over a multiyear period, they're extremely willing and active in terms of helping us and making sure that they're serving our needs. And similarly, on the supply side, because we're continuously in the market and continuously procuring long-lead equipment, we get a very good read on where the constraints are in supply chains where the areas are that are tight, and that enables us to respond to those and be able to act well in advance. So that long lead items don't become a constraint for us in terms of our data center build out. So I think all of that history, the internal expertise we have is extremely important. And it's not just talk. I mean this is consistently delivered capacity against the targets that we've announced historically.
Daniel Roberts: Yes. And again, just to add to exactly what Ken saying, like, this has been 7 years in the making of building a data center and technology platform, the very first data centers we built are now being used for NVIDIA GPUs for an AI cloud. We signed an MOU with Dell was at 5, almost 6 years ago to bring out diverse workloads to our British Columbia facilities in these data centers. So we've had a very long runway in terms of accumulating that human capital. And yes, there is more scarcity and more demand for human capital today, but we've been able to build that platform over a very long period of time and get the right people in the right roles. .
Operator: Next, we have Joseph Vafi from Cannacord Genuity.
Joseph Vafi: Terrific progress once again. Awesome to see it. Just revisiting the ARR number for the year, you clearly -- IREN is always want to overpromise and under-deliver and throwing that number out on top of revenues that would be coming from Microsoft kind of feels like you've got a pretty good line of sight on things just wanted to drill down on that a little bit on those customer ramps. And maybe is there a potential on some of these other customer ramps to also see maybe some prepayments to help fund their own GPU buys? And then I have a quick follow-up. .
Kent Draper: Yes. Thanks, Joe. I hope you were referring to under promising and over delivering rather than the other way around. Yes. So as I mentioned earlier, Prince George, we already have a lot of operating capacity there and expect over the upcoming weeks to continue to install equipment, allowing us to get to the $0.5 billion annualized revenue run rate at that side. Mackenzie and Canal Flats the the works and our end in order to be able to accommodate GPUs, very well advanced. We would expect capacity to ramp progressively over the year there. . In terms of the additional 40,000 GPUs, which equates to around $1 billion of annualized revenue run rate. And then the Microsoft contract, as I referred to earlier, we expect to ramp progressively over the year. In terms of the 40,000 additional GPUs that we're expecting at Mackenzie, That, as I referred to the customer conversations before, we are still seeing customers very willing to make significant prepayments with respect to that. And there are a number of other areas of financing that we're looking at with relation to that, which Anthony, you may well want to touch on some of the options there as to how we can finance that.
Anthony Lewis: Sure. We've obviously I guess, over the financial year-to-date proven access to both leasing-based sources of capital for GPU financing and obviously, the dedicated GPU financing that we recently procured for Microsoft. So there's a number of different pools of capital, which will obviously depend on the nature of the customer and the opportunity, but we feel well placed to continue to fund that growth efficiently.
Joseph Vafi: And then just circling back on SweetWater, obviously, energization coming up here very quickly. And a lot of your peer companies would have likely announced at least there was colo, a tenant at that site by now Obviously, it's really big. There's a lot going on and not asking for a date on anything. But just getting in your mind maybe a little bit, Daniel, is it -- is it just getting your feet more wet in the GPU business and holding back there, waiting for better terms on colo maybe a multitude of things, just your thought process there on pulling a trigger on some of the sweetwater capacity. .
Daniel Roberts: Sure. So I mean we've had an ongoing dialogue on that site for 12, 18, 24 months with various parties. And as we've tried to reiterate, it needs to be the right deal. And I think to date, our patience and conviction has been rewarded with the deals that we have been signing. If we look back to some of the structures being floated early in this kind of AI market narrative, where we are today, seems to be pretty objectively a better position. It is all about the 3 Cs and bringing those together and doing it in a way where you are maximizing the opportunity for shareholders. And there's only so much capacity that you can bring online that time to data center narrative. So there's a real opportunity cost of signing a bad deal. And that is relative, right? -- as relatively good. It's still probably a good deal colocation, but can you get better given that you're constrained by how quickly you can build out data centers. And that's why those 3 Cs are a really good framework because for any business trying to operate in this space, you have to bring those 3 Cs together to sell reinforce each other. If you haven't got the power and the capacity and the ability to execute, you're going to struggle to be a player. If you haven't got the access to customers and their faith and belief in you as an execution machine, it's going to be tough. And if you haven't got the capital, then you kind of get continue to be on 0. So sequencing all of that having not reinforce each other is really important. And I think that's why we're really pleased around the GPU financing result because it's kind of ticked that box. We're now on to the next one, and it also helps catalyze a lot of these other customer negotiations were having an advance into the next phase because we need capital and you can't build without capital. So the GPU financing is now done on to the next one. We've got the capacity, we've got the customers and the demand of the negotiations underway. And as Anthony said, we've got what we see is really good access to capital at the moment.
Operator: Next, we have Michael Donovan from Compass Point.
Michael Donovan: As on progress. So following up on questions around Sweetwater, assuming the batch process goes smoothly and getting the 3 Cs together, how should we think about ramping up phase for construction. Would this follow children's 50-megawatt tranches? Or do you have different plans? .
Kent Draper: Yes. So in relation to that, yes, look, it's going to be a phased build out. It's a very large. That is a large amount of power and what we're continuously doing across all of our 4.5 gigawatts of secured portfolio is aligning customer discussions, availability of capital and our ability to build out data centers and that will influence how we actually build out. But as Dan referred to earlier, likely at the moment, the constraint is the actual pace of construction and ability to construct rather than power availability or capital availability at our end. So we'll be a phased approach, and we will continue to triangulate with the levels of customer demand that we continue to see.
Michael Donovan: Appreciate that. And then on Oklahoma, can you provide some more color on what assets are currently there? And then what long-term lead assets are needed for the site build-out and what additional permitting or studies are or needed at the Oklahoma site. I appreciate it.
Kent Draper: So we mentioned the 200 acres of land earlier. So all of that land is secured. The land is immediately adjacent to a major utility substation, which is where we will be connecting to the transmission grid. On the power side, the full 1.6 gigawatts there is secured. So all of the key elements as it relates to a data center campus are there. Over the upcoming months, we'll continue to work on the various development items, which include master planning, more detailed local permitting et cetera. But with power availability there from 2028, we feel extremely well placed with where we're at today.
Operator: Next, we have John Torado from Needham.
John Todaro: Congrats on the progress. I just have one, it relates to kind of these credit backstopping that you might see from NVIDIA. Just how do you think the competitive dynamic changes on the cloud side? You guys obviously have a ton of power  but if some of these neo calls are able to get more kind of an NVIDIA back stop, they could get more contracted power as well. Just I guess how are you thinking about that?
Kent Draper: Well, I'm not necessarily sure an NVIDIA backstop helps them secure more power. I mean, power and more pointedly to Dan's point earlier, data center capacity is the constraint. Now having a backstop can allow you to finance the build-out of a project, but you still need that access to power and unlinking necessarily the backstop sort of help with that. That is an entirely separate process relating more to development. And as we've spoken about before, that is becoming increasingly challenging as you move forward now for new projects. So 1 of the advantages that we have of having been doing this internal development of projects for years is that we got in early and we have secured what we think is an extremely differentiated portfolio on the power side, and that's something that can't be easily replicated and certainly not something that can just be bought if you somehow get access to a credit back stop. So I think credit backstops can be helpful in other context, but I don't think it's going to give people necessarily faster access to power or data center capacity.
Daniel Roberts: And just to add to that, I think it would be very dangerous to assume that we haven't got the same access and conversations around all these different structures in the market, whether it's equity investments, whether it's credit back stops, whether it's offtake agreements to assume that we're not having those conversations that haven't been having those conversations. Yes, I'd be careful about that. .
John Todaro: That's exactly what I was getting at, Dan. That's helpful. So I guess the takeaway from us is would Core and some of these others are having with NVIDIA, we should think you guys are right there in the same boat, right? You're right there with them? .
Daniel Roberts: Yes. I can't obviously comment specifically on counterparties, but generally, the sector is a very small sector. We are a player. We've got a $10 billion contract with Microsoft. I would encourage it to be a safe assumption that we are having very similar, if not exact same dialogue with all these different counterparties about different structures. .
Operator: Next, we have Mike  Colonnese from H.C. Wainwright & Co.
Michael Colonnese: Dan, congratulations on all the great progress you guys have made in the past couple of quarters. First 1 for me, and I'm sorry if I missed it, juggling a few calls here. Looking at the CapEx projections for the year versus the total amount of additional financing, we did to complete the full 140,000 GPU deployment. Can you just give us an update on that? I know you secured the $3.6 billion in GPU financing covers. It covers most of it. But how should we think about the progression of CapEx spend this year and the remaining amount of financing needed to get to your target?
Anthony Lewis: Sure. Thanks for question.I'll take that one. So I guess, we guys, as you know, we've got the $5.8 billion CapEx on the compute for Microsoft. We've got the approximately $3 billion CapEx for the Verizon data centers, a material amount of which has been incurred or committed to today. And we've obviously raised the recent GPU financing package in addition to sources of cash on balance sheet. So I think we can -- effectively, that's all of the Microsoft related CapEx for the compute and DC spoken for. When we think about the CapEx required for the rest of the ARR growth target to the $3.4 million. We've previously talked about the CapEx required for that expansion at PG and Mackenzie. So taken together, that's about circa using round the circa $3 billion of CapEx a material amount of that, which has been incurred to date and financed through the lease-based financing that we've announced to date. But the focus for financing activities going forward will be obviously that residual amount for the expansion across BC and opportunistically as we look at further growth across the platform.
Operator: Our last question comes from Ben  Sommers from BTIG.
Benjamin Sommers: You made a comment earlier about strong demand for older generation chips. I was just kind of curious, maybe is there a different kind of customer mix for older generation GPUs versus newer generation GPUs. And I guess kind of like how long do you see the tail going on to continue generating revenue off kind of older generation ships? .
Kent Draper: Yes. I think in general, you tend to see newer generation chips being used more for training. Typically, in training scenarios somebody is training a model to actually get a product out to market and speed to market is important. So generally speaking, they want the highest power chips in order to speed up their production times. What we see as the chips get older is that the use case can shift more to the inference side. Now that's not to say they're not useful for training. You can absolutely still do training on older generations. But often, they are used more and more for inference over time. And inference continues to become a larger and larger portion of the over pine. I think we'll continue to do so over time. In terms of the second part of your question around economics and longevity of these chips, I mean, we still see very strong demand for older generations of chips. So I think you've got to think about the demand picture in aggregate and overall, it's still very clear that there is an undersupply relative to demand. And so what that means is people will take compute as it is available. And if that happens to be older generations of chips that they can get their hands on and they're absolutely willing and not only willing, but requiring that capacity. And if you look more broadly across the industry, if you think of A100, A100s, those are more than 5 years old and more than 3 years old, respectively, now those chips are still effectively 100% utilized across the industry and still earning very good rates of return against their original capital costs. So we continue to believe that these chips will have a long economically useful lifetime in excess of the contract length that we are signing, even the Microsoft 1 at 5 years.
Operator: I see no further questions at this time. I will now turn the conference back to Dan for closing remarks.
Daniel Roberts: Thanks, everyone, for joining. More than 7 years of execution has built IREN into a scaled AI platform grounded in real assets, delivery capability and disciplined capital structures with capital access now available at scale and strong customer demand, we're well positioned to bring on new capacity on terms that make sense economically over time. Importantly, having now absorbed the capital requirements associated with our Microsoft deployment, we're able to focus on converting a broader set of advanced customer negotiations into contracted revenue. When we discuss secured power, we mean fully secured. Power is not a constraint for us. And the ERCOT process is providing greater transparency around which projects are genuinely deliverable. That clarity reinforces the scarcity of firm megawatts and helps customers focus on capacity that can be brought to market with certainty.  And IREN we  remain focused on execution and on converting our capacity into high-quality customer contracts, and we look forward to updating you as we continue to deliver. Thanks again for your time and continued support. Have a good day. .
Operator: Thank you for joining us today. This concludes today's conference call. Thank you for participating. You may now disconnect.